Operator: Good morning and welcome to the RE/MAX Holdings Preliminary Fourth Quarter 2021 Earnings Conference Call and Webcast. My name is Savannah and I will be facilitating the audio portion of today’s call. At this time, I would like to turn the call over to Andy Schulz, Senior Vice President of Investor Relations. Mr. Schulz?
Andy Schulz: Thank you, operator. Good morning, everyone and welcome to RE/MAX Holdings fourth quarter and full year 2021 earnings conference call. Please visit the Investor Relations section at www.remaxholdings.com for all earnings related materials and to access the live webcast and the replay of the call today. If you are participating through the webcast, please note that you will need to advance the slides as we move through the presentation. Turning to Slide 2, our prepared remarks and answers to your questions on today’s call may contain forward-looking statements. Forward-looking statements include those related to agent count, franchise sales, financial measures and outlook, brand expansion, competition, technology, housing and mortgage market conditions, capital allocation, dividends, share repurchases, strategic and operational plans and business models. Forward-looking statements represent management’s current estimates. RE/MAX Holdings assumes no obligation to update any forward-looking statements in the future. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ materially from those projected in forward-looking statements. These are discussed in our fourth quarter 2021 financial results’ press release and other SEC filings. Also, we will refer to certain non-GAAP measures on today’s call. Please see the definitions and reconciliations of non-GAAP measures contained in our most recent quarterly financial results press release, which is available on our website. Joining me on our call today are Adam Contos, our Chief Executive Officer; Steve Joyce, Director and Incoming CEO; Karri Callahan, our Chief Financial Officer; and the Presidents and CEOs of our brands, Nick Bailey and Ward Morrison. With that, I would like to turn the call over to RE/MAX Holdings CEO, Adam Contos. Adam?
Adam Contos: Thank you, Andy and thanks to everyone for joining our call today. Looking at Slide 3, we exceeded our expectations during the fourth quarter. Our strong performance was driven by better-than-anticipated results from our acquisitions of RE/MAX INTEGRA’s North American regions and solid organic growth contributions from our core operations. Over the past few years, we have been strategically investing to expand and diversify our revenue and growth opportunities. Our Q4 results affirm that these investments are beginning to pay off. Here are some of the highlights. Overall, RE/MAX Holdings revenue for the fourth quarter was $89.2 million, up over 23%, largely driven by our July acquisition of INTEGRA. Excluding the marketing funds, we had 5% organic revenue growth in the fourth quarter. We generated adjusted EBITDA of $31.1 million, up over 30%, and we expanded our adjusted EBITDA margin to 34.8%. Adjusted EPS increased more than 27% to $0.60. Overall, agent count grew more than 4,000 agents to 142,000 agents in total, a new record. And Motto opened a record number of offices in 2021 with growth of more than 30%. Today is my last earnings call as CEO of RE/MAX Holdings. Before I turn the call over to Nick, I just want to say what a pleasure it has been working with our tremendous team. There’s also been an absolute privilege and honor to serve our two amazing networks. Our RE/MAX and Motto affiliates are hands-down the best entrepreneurs in real estate, and it has been the highlight of my professional career to lead them. Our Board member, Steve Joyce, will lead RE/MAX Holdings until the search for our next CEO is complete. I cannot think of a better person to pass the baton to than Steve. His deep experience and long track record of success in leading publicly traded franchisors, picks him an optimal fit to lead our company. I am confident he will seamlessly step into the CEO chair and add to our momentum. I am proud of all that we have accomplished over the past few years. I know I leave the company in great hands, and I look forward to sharing in its many future successes as a shareholder. With that, I will turn it over to Nick.
Nick Bailey: Thanks, Adam. Good morning, everyone. Moving to Slide 4, although January home sales were robust by historic standards, they were down modestly about 5% relative to last year’s funding start according to the latest RE/MAX National Housing report. Importantly, the rate of price appreciation pause as the Median Sales Price across the 51 metro surveyed remained steady relative to December sales price. Homebuyers hope this is the continuation of a welcome trend as it represents the second month in a row of very low to no price appreciation. Perhaps the most notable development from January was that mortgage rates started to tick up, interest rates impact consumer confidence and influence their behavior. Some markets are seeing a good start to their spring selling season as buyers and sellers rush to beat any additional rate increases. Nevertheless, rates remain historically attractive, and with prices stabilizing recently that is helping offset affordability concerns for the time being. Some exhausted homebuyers may be discouraged by the prospect of rising rates and choose to sit on the sidelines as a consequence, in combination of slightly cooled demand with the expected increase of new homes coming to the market might just see the ticket start tipping the overall housing market toward equilibrium. In the interim, we expect 2022 to be another strong year for housing, once again, driven by strong demand. There is a ton of pent-up demand from last year and the prospect of rising rates might boost that demand in the first half of the year. Price appreciation trends might follow a similar pattern, moving higher, faster in the first half of the year and then less in the back half. Markets with the highest job growth should continue to see the healthiest price increases in the coming year. Looking at Slide 5, overall agent count increased over 3% year-over-year to a new high of 142,000 agents. We’ve added over 4,000 agents worldwide since December 2020, highlighted by terrific growth in Canada. Our agent count in Canada grew by 2,000 agents during 2021, which is a whopping 10% increase. And encouragingly, the increase was broad-based as we experienced growth in almost every product, highlighted by outsized growth in the Ontario Atlantic region, which contributed notably to the acquired RE/MAX entire operations in the quarter. We are tracking to hit 25,000 agents in Canada sometime later this year, which would represent a 25% increase from just a few years ago. Note that on average, an agent in our Canadian company-owned regions generated over $2,400 in annual revenue in 2021 that is only about 20% less than we derive annually from a U.S.-based agent in company-owned regions. As a result, we’re focused on our combined U.S. and Canadian agent count growth and use it as a key performance indicator. And the fact we are approaching levels we haven’t seen in over a dozen years is cause for optimism. In the U.S., we have many states that grew their respective agent counts in 2021. However, due to agent attrition in other states, our agent count in the U.S. finished the year slightly down overall. The increase in our U.S. agent count remains our #1 company priority, and we have several good ideas on how to spur that growth. We will look forward to telling you more about that in the future. Now switching to the global arena, our international agent count increased 5.6% to more than 56,000 agents, which is a new record. That represents growth of more than 10,000 agents during the 2-year pandemic, which is a tremendous accomplishment under adverse conditions. As the pandemic eases, we expect to see our growth outside the U.S. and Canada began to accelerate. I am excited to be heading to Las Vegas this weekend for our annual international agent conference. Our network’s interest in attending has been fantastic, and we now expect over 6,500 attendees from more than 34 countries to gather, learn network, share best practices and get reacquainted with old friends. Also, while we’re in Vegas, we also plan to celebrate because in terms of closed transactions, 2021 was the best year ever in the history of RE/MAX. RE/MAX surpassed more than 2 million total transaction size in 2021 and that is something that no other brand has ever done. With that, I will turn it over to Ward.
Ward Morrison: Thanks Nick. Looking at Slide 6, the fourth quarter was a strong capstone to another year of outstanding growth for Motto. In 2021, the Motto network generated almost $3.5 billion in loan volume and helped nearly 13,000 families realize their dreams of homeownership. Both metrics far surpassed 2020’s totals. Motto’s number one goal every year is growing franchise sales. We had an inflection point in our franchise sales 2 years ago, and I’m happy to say the momentum carried forward through last year. We sold 64 franchises in 2021, just off our record pace set in 2020. In just a few short weeks, we sold our 300th franchise since inception, which is a rare achievement for any franchise to hit let alone within the first 5.5 years of its launch. Motto has averaged at least 1 franchise sales per week since our founding in October 2016. And we continue to see strong demand across many customer types. Most Motto franchise sales to date a little over 55% have been the RE/MAX brokers. Importantly, an increasing number of sales are now to independent real estate brokerages or professionals affiliated with the rival brand, representing over 15% of franchise sales to date. Remaining 30% of sales have been to entrepreneurs, investors or owners of related businesses like title insurers. The extraordinary growth the Motto Mortgage brand has experienced and the rapid diversification of franchise ownership is a testament to how compelling our value proposition is. Potential franchisees know the importance of ancillary business opportunities, and how ancillaries can help them diversify their revenue streams and fortify their balance sheets. With the prospect of rising interest rates, potential franchisees are also aware of the countercyclical nature of our business model and Motto’s unique position in the purchase market. Simply put, Motto’s loan originators are often tied directly to purchase pipelines driven by real estate agents. Additionally, Motto’s LOS tend to come on board with a lot of local experience in connections to their respective communities, attributes that are vital to building a successful purchase pipeline. As a result, Motto has a much higher percentage of purchase volume than the industry average. This is a fact not lost on the 70% or so of our Motto franchisees, who are either real estate brokers or professionals and are situated close to the real estate transaction. Robust franchise sales are also leading to strong office openings, which ultimately drive contributions to our overall organic revenue growth. We opened nearly 60 new offices in 2021, a record. That represents over 30% annual growth, and we have many more openings in the pipeline. As of year end, we had 187 independently owned and operated offices under the Motto Mortgage brand across 38 states in Washington, D.C. The Motto team does a terrific job of helping our franchisees, navigate the licensing process and the steps needed to get their offices open. It’s an important part of our overall value proposition. And as the impact of COVID lessens, our office openings are ticking up. We’re off to a fast start so far in 2022, and we expect to open our 200th Motto franchise any day now. Another big area of organizational focus for our mortgage business this past year has been the continued development of wemlo. We acquired wemlo in the second half of 2020 to solve one of our Motto franchisees’ primary pain points, finding steady dependable and economic loan processing services. With the addition of wemlo, Motto offices now have access to an operationally ingrained third-party loan processing team, which is held at the same high standards of customer service that have come to define the Motto Mortgage brand. Last quarter, we introduced wemlo’s loan brokering system, or LBS, which has been designed to address the specific needs of the professional loan originator operating in the mortgage brokerage channel. We are continuing to iterate on the platform and incorporate critical feedback from our network. Our Motto affiliates will receive the LBS platform at no additional fee as well as obtain initial discounts on the integrated wemlo loan processing offerings. Wemlo LBS should officially launch the mortgage brokerage industry sometime later in 2022. With that, I would like to turn the call over to Karri.
Karri Callahan: Thank you, Ward. Good morning, everyone. Moving to Slide 7, fourth quarter revenue grew 23.1% to $89.2 million, excluding the marketing funds revenue was just over $66 million, an increase of 21.2%. This increase was comprised of just over 15% acquisitive growth, 5% organic growth and just under 1% growth from FX. All acquisitive growth came from last July’s acquisition of RE/MAX INTEGRA’s North American operations, which continues to perform better than we anticipated in every significant metric: agent count, revenue growth, cost synergies and profit. Notably, for the third quarter in a row, we generated mid single-digit organic revenue growth ex the marketing funds. As expected, we are witnessing a trend of organic growth developing, and we believe it will continue throughout 2022. Our 5% organic revenue growth rate this quarter was even more encouraging given that we lapped a historically strong Q4 housing market, so none of the growth came from broker fees. Many drivers contributed to our top line performance during Q4, including more targeted use of agent recruiting incentives, pricing, increased events-based revenue and Motto expansion to name the most notable one. If you exclude the booj legacy runoff, our organic growth improved by almost another 1%. Looking at Slide 8, we also exceeded the top end of our profit guidance range for the third straight quarter as our adjusted EBITDA increased almost 31% to $31.1 million. Fourth quarter adjusted EBITDA increased primarily due to strong contributions from the acquisition of INTEGRA. Adjusted EBITDA also increased due to incremental revenue from fewer agent recruiting initiatives and a price increase in RE/MAX continuing franchisees, offset by increased travel costs in our real estate segment and by continued investment in wemlo within our mortgage segment. The INTEGRA acquisition has been a bright spot in both our Q4 and full year 2021 performance and we expect that to continue. We continue to see growth from the other acquisitions we have made over the past 2 years, but wemlo and First have ramped slower than expected. From a profit perspective, our business model has significant leverage, mid-single-digit organic revenue growth, again, translated to strong profit performance, which was accompanied by margin expansion. Our adjusted EBITDA margin of 34.8% in Q4 was up 200 basis points compared to 32.8% in the fourth quarter of 2020. Over time, we aim to generate consistent mid-single-digit organic revenue growth, which should translate into a higher rate of adjusted EBITDA growth, and typically an even higher rate of earnings growth. That’s the beauty of the franchise model. Before I get to our guidance, I wanted to spend a moment on capital allocation. Since our initial public offering, we have consistently stated that returning capital to shareholders was a priority. It was true in 2013, and it remains true today. That’s why I am pleased with last month’s announcement that our Board of Directors authorized a common stock repurchase program of up to $100 million, reflecting confidence in the company’s performance and the strength of our balance sheet. We believe the investments we’ve made over the past few years position us well to continue to grow and generate substantial amounts of free cash flow over the long term. We continue to balance returning capital to shareholders with strategic investments in the business to create shareholder value, and we will continue to prioritize our capital allocation accordingly. Moving to Slide 9, the company’s first quarter and full year 2022 outlook assumes no further currency movements, acquisitions or divestitures. For the first quarter of 2022, we expect agent count to increase 1.5% to 2.5% over first quarter 2021; revenue in a range of $88 million to $92 million, including revenue from the marketing funds in the range of $22 million to $24 million; and adjusted EBITDA in a range of $25 million to $28 million. For the full year 2022, we expect agent count to increase 2% to 4% over full year 2021; revenue in a range of $366 million to $376 million, including revenue from the marketing funds in the range of $91.5 million to $95.5 million; and adjusted EBITDA in a range of $130 million to $135 million. One last item to note with respect to our 2022 expectations due to having a full year of contribution from INTEGRA, we expect our income tax rate used to calculate adjusted net income to increase from 24% to 25%. Now I will turn the call over to Steve for closing comments.
Steve Joyce: Thank you, Karri. Looking at Slide 10, over the past few years, Adam and the leadership team have done an outstanding job investing for growth, expanding our services and positioning RE/MAX Holdings for continued success in the future. The company’s strategic investments have significantly diversified and broadened our revenue and growth opportunities. We saw those investments start to pay off in 2021. And as evidenced by our 2022 guidance, we expect that to continue in the year ahead. I look forward to working with our talented team to build on our momentum. My goals as CEO are straightforward. First, amplify our growth and revitalize our U.S. agent count, in particular, by focusing on a few strategic initiatives; and second, work with our Board of Directors to identify our next company leader. I am here to successfully execute on these 2 critical objectives, and I plan to see them through, whether that takes 6, 12 or 18 months, I am here for the duration. I’m excited by both opportunities and look forward to sharing more good news in the coming weeks and months. With that, operator, let’s open it up for questions.
Operator: [Operator Instructions] And our first question will come from Ryan McKeveny from Zelman & Associates. Please go ahead.
Ryan McKeveny: Yes, thank you very much, and good morning. And Steve, nice to hear you on the call as well. And Adam, congrats on everything, and good luck with everything. So I wanted to focus a bit on, Steve, you just mentioned the few core strategic initiatives, and Nick touched on this as well, but just curious if you can dig a little deeper there. What’s the path to kind of returning the U.S. segment towards growth. And with the success in Canada and strong growth there, I guess, any learnings or things happening within that market that maybe we can think about as applicable to the U.S. side of things? Thank you.
Steve Joyce: You’re welcome and good morning. Let’s see, so yes, it is to your question, Canada is a learning opportunity for us because we’ve had some great successes there. And a number of the things that they are doing are the types of things that we’re thinking about bringing to the U.S. amongst some others. So if you look around the industry, a number of the folks in our business have done some interesting things on both retention and on gaining agents. And we are – have been in the process of looking at and determining which of those we want to do. You will hear from us in the near-term as to the things that we’re going to do that we think will make a difference in the U.S. count. The great thing about the Canadian agent count is – those agents are worth 80% of what the U.S. agents’ worth, so that’s helping significantly from the standpoint of the value of the agents we have in-house, but we are totally dedicated, as Nick said, to bringing back growth on the U. S. agent side, as well. We have several levers to pull, and we are in the process of determining which leverage will be pulled and in which order to have the maximum impact on that agent count. That will happen over the first quarter, so you can expect to see the results of those kind of coming through in ‘22, and we fully expect to bring that agent count back to positive growth as is indicated in our guidance for the year. But we do think that there is significant opportunity continue in Canada as well. And so the combination of those two, we think, will continue to benefit us. In addition to that, we believe we’ve got the opportunity to strongly expand in the mortgage business, and we are looking at, as others have, on other sides of the transaction that we think that we can bring value to our brokers and agents and to the company by determining, which avenues of those grows to go. So what we want to do is bring the U.S. and Canada agent count to a healthy growth perspective on long run basis. But then also continue to grow other revenue streams to expand that growth trajectory for the company going forward. And to explain a little bit on my role, so we are in a position where I’m here to help change that growth trajectory. I have been reasonably successful. We’ve done it in the last 40 years, but several in the last – in the three companies I’ve been associated with. The good thing is with Adam and the team, they have already put a number of the building blocks in place and have been working on a number of things that I think we’re going to be able to take advantage of this year. But we believe that we’ve got a significant opportunity to grow this company at a more rapid pace with a more varied revenue and profit stream that will benefit shareholders in the long-term.
Ryan McKeveny: That is very helpful, thank you for all the detail there. Ward, one for you on the mortgage side. So obviously seeing good franchise sales and performance in that business, I guess one thing I’ve noticed is it seems that there is more advertising going on, on social media, you see Motto ads here and there. So I guess, are you guys ramping up kind of the consumer-facing marketing of Motto? And just economically, are costs on the mortgage side similar to the franchise side, marketing related in terms of going into like marketing fund kind of pass-throughs or would those be in SG&A? And generally speaking, if you can just kind of hit on that, whether you guys are pushing towards just more marketing in general to the consumer and assumingly also towards mortgage and franchise professionals to potentially drive more franchise sales? Thank you.
Ward Morrison: Sure. A couple of different things to unpack there. The first one would be, yes, we do have a national marketing fund. It’s very small compared to the RE/MAX side of the house as we’re getting ramped up. We do augment some of that with traditional SG&A spend, but we’re very judicious about it. I mean we’re mainly emphasizing digital advertising. The biggest thing that I think you’re seeing is the growth of the network. As the network grows, we have not only our Facebook, our Instagram, our social properties that we’re advertising on, but we’re also supporting our LOS or our loan originators in doing their own advertising as well and the offices. So like just recently, we rolled out a program called Motto ref, where we’re actually doing the social media for our LOS in our offices. So that’s why I think you’re seeing some of the increased advertising out there because we’re just taking steps to foster that grassroots effort that happens in every franchise, but particularly as this franchise starts to grow.
Ryan McKeveny: Very helpful. Thank you.
Operator: Our next question is from Stephen Sheldon with William Blair. Please go ahead.
Stephen Sheldon: Hi, good morning. I guess wanted to follow-up on kind of the mortgage and Motto. I guess how are you thinking about the profit trajectory for, I guess, the combined mortgage business heading into 2022. It looks like there is still a drag about $5 million to adjusted EBITDA in 2021. I know wemlo is a big factor and the profitability there taking a step back. But could you – if you think about 2022 and 2023, could you approach breakeven profit or even some level of profitability for the combined mortgage operations?
Karri Callahan: Hi, good morning. Stephen, it’s Karri, great question. As we think about wemlo and the mortgage business in general, we’re very excited about the opportunities. We are continuing to invest in wemlo and so that is pushing the breakeven point back a little bit. Current best estimates in terms of the quarterly profit breakeven is back end of this year, so kind of looking at Q4 and then looking at profit contributions from the combined mortgage segment as we head into 2023.
Stephen Sheldon: Got it. That’s good to hear. I appreciate that. And then, I guess, on the international side, great to see RE/MAX expanding into new countries. How much more potential is there for that? And any updates on the potential to boost your revenue per agent in some of these international markets it seems like that could be a really important lever you still have to drive growth and profitability here at some point?
Adam Contos: Yes, great question. So on the global side, we continue to see good growth, where a record high of over 56,000 agents over in four countries. We look at a number of them that are continuing to grow at a quick clip and the forecast even in looking at this year, believe that Argentina, Brazil, even one of the newest, Pakistan opens March 1 and already has sales. And so we will see – we believe, we will see good growth out of those. As far as looking at monetizing the global footprint, that has been something that continues to be a focus as we’ve taken one avenue as the direction in doing that is the use of technology. This year, we just launched successfully taking technology out of the U.S. into Canada for the first time that we went across borders. And we believe that, that’s going to set the foundation for the opportunity to possibly use technology as a driver between not only tools and services, but the referral network and look at maximizing or extending that revenue globally in the future.
Stephen Sheldon: Great. Thank you.
Operator: Our next question will come from John Campbell with Stephens.
John Campbell: Hi, guys. Good morning. Adam enjoyed working with you over all these years, and wish you the best of luck.
Adam Contos: Thank you.
John Campbell: Yes, absolutely. I don’t know if this question makes sense for Karri or Nick, but if I look at the full year, 2% to 4% agent growth you guys have done out there. You talked to Canada agents maybe hitting 25,000 or so this year. If I assume mid, I don’t know, high-single-digit or so on international growth, I’m thinking that maybe the swing factor or the difference between the 2% and the 4% as whether you guys are basically going to grow U.S. agents or not? Is that a fair way to frame it up?
Karri Callahan: I think that, that’s a reasonable, look, I mean, as Steve mentioned, the top priority is reinvigorating that U.S. agent count growth. But still, you have to remember, right, there is differences to our model, and we’re going to look to grow those hundreds of agents in the U.S., and that’s the expectation at least near-term because we’re focused on the right agent for RE/MAX and getting that back on track is obviously a key priority.
John Campbell: Okay. That’s helpful. And I don’t know if this is a fair question, but just bigger picture, longer term, I mean, you guys are pretty confident about the mid-single-digit organic growth over time. And I know every year is going to have a kind of a different market backdrop, if you will. But do you guys feel over the next couple of years, is that mid-single-digit growth achievable if you assume U.S. agent count is kind of static?
Karri Callahan: I think one of the things that we’ve really been focused on over the last couple of years is really diversification on and broadening our revenue and profit opportunities. And Steve even spoke and alluded to that increasingly in his previous remarks. And so as we think about that, there is a lot of different levers that we can pull. And so we’re not entirely tied to that U.S. agent count now. So we are assuming that the macro hangs in there, obviously, and that the housing market continues to perform reasonably well. We’re – because we think about kind of 3%, 4%, 5%, we feel confident in that even with kind of a modest agent count growth in the U.S.
John Campbell: Okay. That’s helpful. And then you guys have addressed this in the past, I mean – but it does seem like you’re exploring a couple of options or levers as you put it around the U.S. agent growth. And you mentioned that’s the number one priority for the company this year. I want to ask you again because I think you guys have been asked this before, but what is your thought on equity issuance? I mean that has been kind of a key tool for some of the faster-growth peers. Is this something that you guys are exploring? Or is that possibly one of the options?
Steve Joyce: Yes, I’ll take that. So that is clearly one of the things that we believe could be a catalyst for us. And the question isn’t whether or not we plan on using equity going forward because we will. The issue will be where do we want to apply it. And it goes broader than just agent recruiting. It also goes to looking at acquisitions, it goes to looking at various different types of new avenues of growth we want to explore. And so when we look at the opportunities particularly as it relates to other revenue streams, we see that as significant, obviously, around the transaction. But then the other is, look, I come from a background where when I was – I started at Marriott. Marriott now has 33 brands, and I went to Choice and we went from 9 brands to 13 brands. And so I’m in a – I come from a background where the utilization of different revenue streams and brands is a regular part of the franchise model. And so I don’t – I think you should think that we are going to consider all those options in terms of what are the best investments for us. Now on the other side, we think one of the strongest investments, of course, immediately facing us is share repurchase. So you can expect to see us pulling that lever as well. But there is a combination of tools that are available. And this is the one of the things that’s exciting about this company is that we’re in great shape financially. We’re in great shape from the standpoint of our businesses. We need to make a couple of adjustments. But then the question is choosing which are the strongest, the best opportunities to increase total shareholder value. And that’s what we’re all about going forward.
John Campbell: That’s a good response. Appreciate that, Steve.
Operator: Our next question will come from Matthew Erdner with JonesTrading. Please go ahead.
Matthew Erdner: Hi, guys. Thanks. I’m asking a question on behalf of Jason Stewart. So you just mentioned the share repurchase. At what price does that look attractive to you guys? And where would we expect you to go in at?
Karri Callahan: Good mooring.
Adam Contos: Obvious – Good morning. Karri, why don’t you start, and I’ll jump in.
Karri Callahan: Look, obviously, return of capital has continued to be a top priority of ours. Looking at balancing the dividend and the share repurchases, we’re very confident in the future opportunities, and we think there is tremendous value to be delivered, given where the stock is trading right now. And you’ll see us continue to act opportunistically when we think we can purchase and deliver the best returns to shareholders.
Adam Contos: So yes. And I guess the way to think about it is we believe, our top priority is total shareholder return, which is why you’ll see us pushing strong dividend payment, but also share repurchase when it makes sense. We believe there is a tremendous amount of value in our stock currently. So – and we believe that, that is probably going to be in place for a significant period of time, and we plan on taking advantage of it.
Matthew Erdner: That’s great. Thank you.
Operator: Our next question will come from Richard Hill with Morgan Stanley. Please go ahead.
Jose Herrero: Hi, good morning. Hi, everyone. Congrats on the great 2021. This is Jose Herrero in for – asking a question for Rich. Just regarding the outlook for both Q1 and full year ‘22, is there any way you could kind of give a little color – I know you guys spoke about Canada and some of the international parts, but kind of the components of each of the agent count growth rate in terms of where you guys are expecting that, and how you came up with that 1.5% to 2.5% and then 2% to 4%?
Karri Callahan: Sure. So we really do look at it on a holistic basis over the full year. Obviously, agent count can be a little bit cyclical. And so looking at, as I mentioned earlier, in terms of U.S. agent count growth kind of in the hundreds, getting up over 25,000 agents in Canada, so continuing to see strong acceleration there. And then still being a little bit pragmatic in terms of the global growth kind of just to round out the outlook for the year just given kind of what we saw in 2021. But as Nick mentioned, we think there is tremendous upside in global and the global footprint continues to be a key differentiator for us from a competitive advantage perspective.
Jose Herrero: Great. Thank you.
Operator: And our next question comes from Thomas McJoynt with KBW. Please go ahead.
Thomas McJoynt: Hi, guys. Good morning. Thanks for taking my questions here. So could you guys talk a little bit about some of your technology initiatives? I know last quarter, you booked the impairment on the First product citing lower adoption rates. So could you just kind of give us a sense of kind of what products you have out there now that are working and gaining traction and which ones you’ve been a little bit disappointed with?
Nick Bailey: Yes, I’ll take that. So we have obviously made some strategic investments in technology. And I believe 2022 is going to be the year that we maximize the integration and simplification of them. We will continue to monetize First, but we will actually be announcing some new initiatives just next week in Las Vegas, our convention on how these products are going to start to operate together. Early indications even on the First, one we’ve released over this last month, is we’ve doubled adoption rates even to our base Internet system, which is our front door to everything. And so as we continue to refine these systems, we’re really following the guidance of our customers in a lot of ways. We have feedback that we have great products, but they are running with multiple databases and multiple features that overlap. And so as we look at ‘22, this is the opportunity of simplification, pulling some of them together, figuring out which features rise to the top with the highest adoption levels. And I believe that, that’s going to have a really positive impact on our retention rate as well and possibly lower churn. So we’re really optimistic about what the road map looks like for ‘22 and pulling together these investments that are starting to pay off.
Karri Callahan: Yes. Nick, I agree with everything you just said. One thing, Tommy, in response to your question with regards to the impairment that I would note that doesn’t take at all away from how we think about First. We continue to be very positive about the product, we’re still seeing adoption. It just ramped a little bit slower than what we expected. And for better or worse, we have to go through some of the accounting requirements to be able to evaluate that. But that doesn’t at all take away from how we feel about the product and the fact that we’re seeing very positive results from our agents who have adopted it in terms of boosting their productivity, continuing to operate in a low inventory environment as well, continues to be another bright spot in terms of agents adopting it. So for all the reasons that Nick said, we’re still continuing to be positive in it and looking at allocating capital to technology in those areas that we think are going to really drive recruiting and retention and deliver value.
Nick Bailey: Yes. And Karri, as you mentioned, I’ll throw one other piece in there that, when we look at First, we believe that, that has had an immediate impact due to inventory levels. But we’re seeing on average, when a RE/MAX agent adopts First – in their first 90 days, they are getting eight listings. They are 50% more productive than agents – agents that use are 50% more productive than not, and those that do begin using it increase their productivity by 12%. And we believe that, that’s what’s led to, in the U.S., Canada and global, all three sectors, we increased the average transactions per agent over this past year. And we believe that these products are starting to show results just in that way.
Thomas McJoynt: Thanks. Appreciate the clarification comments on First. And could you just remind us of your latest thoughts on the monetization of some of these products with agents? Is this kind of part of your broader diversification strategy of revenues, just kind of your latest thoughts there?
Karri Callahan: Sure. So from a monetization perspective, we are charging incremental for First because of the value, as Nick just mentioned, that our agents are being able to drive. It’s a very modest investment compared to what they might spend in the rest of their portfolio. So obviously, looking at having that captive audience continues to be an opportunity and a lever that we might pull in addition to the other diversification efforts that we’ve successfully executed on in terms of monetizing other products to our networks like the wemlo loan processing services and other opportunities that we might engage on in the future.
Thomas McJoynt: Great. Thanks, guys.
Operator: And that will conclude today’s question-and-answer session. I would now like to turn the call over to Mr. Schulz for any closing remarks.
Andy Schulz: Thank you, Savannah, and thanks to everyone for joining the call today. Have a great week.
Operator: And this does conclude today’s conference. Thank you for your participation, and you may now disconnect.